Operator: After today's presentation, there will be an opportunity to ask questions. Also, please be aware that today's call is being recorded. I would now like to turn the call over to Todd Kehrli of Pondell Wilkinson. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, and welcome to DHI Group's First Quarter Earnings Conference Call for 2025. Joining me today are DHI's CEO, Art Zeile, and CFO, Greg Schippers. Before I hand the call over to Art, I'd like to address a few quick items. This afternoon, DHI issued a press release announcing its financial results for the first quarter of 2025. The release is available on the company's website at dhigroupinc.com. This call is also being broadcast live over the Internet for all interested parties, and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements reflect DHI management's current views concerning future events and financial performance and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include the risks and uncertainties described in the company's periodic reports on Form 10-Ks and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, on today's call, management will reference specific financial measures, including adjusted EBITDA, adjusted EBITDA margin, free cash flow, and non-GAAP earnings per share, which are not prepared in accordance with U.S. GAAP. Information regarding these non-GAAP measures and the reconciliations to the most directly comparable GAAP measures is available in our earnings release, which can be found on our website at dhigroupinc.com in the Investor Relations section. I'll now turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone, and welcome to our first quarter earnings conference call for 2025. We appreciate you joining us today as we review our financial performance and discuss our outlook for the remainder of the year. Let me start by saying that Q1 marks an important milestone for DHI, as it is the first quarter we are reporting financial results under our new business segmentation. This segmentation aligns with how we operate and manage the business today and provides greater visibility into the performance of our individual brands. As part of this initiative, we have aligned our operations around our two distinct brands, ClearanceJobs and Dice, each with dedicated leadership and tailored go-to-market strategies that reflect their unique market dynamics and customer needs. This brand-led structure brings sales, marketing, product, and development teams under a single leader for each business, driving greater focus and accountability. At the same time, we've maintained centralized support functions, including human resources, finance, and technology operations, to efficiently manage our employees, business systems, and public company responsibilities. We believe this realignment enhances our profitability and unlocks new strategic growth opportunities for each brand. More specifically, we believe that it allows ClearanceJobs to expand its mission in the GovTech space. Now I would like to provide an overview of our performance this quarter and the measures we've implemented to enhance our position moving forward. First, looking at the company as a whole, despite a 10% decline in total revenue in the first quarter, we delivered company-wide adjusted EBITDA of $7 million, representing an adjusted EBITDA margin of 22%. We removed over $20 million of operating costs through three restructurings since May of 2023, while improving our product offerings and strengthening our sales and marketing teams. These initiatives position us well for a return to highly profitable growth once we are back in a normal tech hiring environment. From a segment perspective, ClearanceJobs continues to demonstrate its value as a highly profitable and strategically differentiated platform. CJ delivered another quarter of very strong profitability, with adjusted EBITDA of $5.7 million and an adjusted EBITDA margin of 43%. While bookings declined 1% year over year, this was primarily due to the uncertainty around the Doge initiative and its potential impact on the federal defense budget, which I will speak to more about shortly. Importantly, our larger CJ customers remain confident in their prospects for the coming year, and we believe the business is well-positioned for long-term growth, given its leadership position in the market. As expected, Dice faced a more challenging environment, with bookings down 20% year over year. This decline was primarily driven by customers that had booked multiyear contracts back in the booming first quarter of 2022 and adjusted their consumption to a lower demand environment during their renewal. That said, we continue to prioritize aligning Dice's cost structure with current market conditions, delivering adjusted EBITDA of $3.4 million and an adjusted EBITDA margin of 18%. We remain confident in Dice's ability to return to growth as tech hiring demand normalizes. Now let's dig into the current state of the tech labor market, which serves as a key growth indicator for our business. We believe that tech hiring demand is gradually returning to normal levels. Since August of 2024, we've seen consistent year-over-year increases in monthly new tech job postings. In fact, according to CompTIA, new tech job postings in Q1 of this year increased by 16% compared to last year, averaging 215,000 new tech job postings each month during the quarter. While the number of new tech job postings is improving, it is still only around 70% of normal levels if we consider 2019 the last normal year of tech hiring demand. In the tech staffing sector specifically, staffing industry analysts recently revised its 2025 growth forecast to a 2% year-over-year increase. While this is down from the original forecast of 5% growth, it is still a significant improvement from the 6% decline in 2024 and a 10% decline in 2023. This is a positive signal, reflecting confidence in the industry's improved performance this year. Another encouraging demand signal comes from Lightcast, which tracks new tech recruiter job postings. In the first quarter, tech recruiter job postings increased 36% year over year. This uptick is also a promising sign, as increased hiring of tech recruiters typically signals a forthcoming rise in the demand for hiring tech professionals. Moreover, AI continues to generate increasing demand for tech professionals. Major consulting firms are leading early-stage AI projects, with IBM securing $5 billion in AI-related business and McKinsey forecasting that 45% of its projects will focus on AI this year. We see this as a key indicator of broader corporate AI adoption, which will ultimately require more technologists for effective implementation. As businesses increase these initiatives, platforms like ClearanceJobs and Dice, along with our database of 9.1 million tech professionals, will be essential tools for employers looking to attract top tech talent. In the federal sector, Doge-related uncertainty impacted new business bookings and renewals to a certain extent at ClearanceJobs. However, we believe this is temporary, as the canceled Department of Defense contracts reported by Doge represent approximately one-half of 1% of the full defense budget. Also, the heads of the Senate and House Armed Services Committee recently agreed on a $150 billion boost for current defense funding. Senate Armed Services Committee Chairman, Roger Wicker, and House Armed Services Committee Chairman, Mike Rogers, view this as a generational investment in the military. And both President Trump and Secretary Hegzeth have indicated their desire for the first trillion-dollar defense budget for fiscal year 2026. Moreover, Booz Allen's CEO recently noted if the government wants to operate with fewer people, it will need more technology. And that means more technologists will be needed to implement it. The move by Europe to start spending more on their own defense could also positively impact CJ's opportunity because as EU defense spending goes up, there are very few EU contractors they can engage. Over 60% of EU defense spending flows to US military contractors today, and the EU can't create weapons manufacturing facilities in months. It actually takes years. So in the interim, we expect this new spending will flow to U.S. defense contractors as they are the largest viable source of weaponry that exists. We also believe that there are additional services that CJ can deliver in the GovTech space over the course of time, and we are actively working to explore them. During the quarter, CJ secured several new customers, including Boston Government Services, Saab, and Complete Parachute Solutions. With over 10,000 employers of cleared tech professionals and over 100 government agencies also needing cleared tech professionals, not to mention the EU opportunity I just outlined, CJ has a significant growth opportunity ahead. Dice also secured several notable customers this quarter, including American Airlines, Jason Pharmaceuticals, and Flexjet. On the new business front, we are focused on recession-resistant sectors like consulting, healthcare, financial services, and education, as well as those staffing and recruiting firms that are seeing increased business. We continue to hear success stories from our clients like professional services firm MindSea, who recently said that Dice is the best platform for finding technical talent, particularly for its bigger clients. Now let me quickly touch on what we're doing to drive increased adoption of our two brands. First, ClearanceJobs continues to innovate with recent product updates, including expanded multifactor authentication options and enhancements to our live events platform. CJ was honored to receive recognition from the White House as a vital private sector partner in strengthening the national cybersecurity workforce, reinforcing CJ's leadership position in this critical market. For Dice, this quarter, we launched a redesigned hiring page to introduce prospective clients to our menu of services. We also introduced a new modern dashboard and home feed for technologists. In the current quarter, we expect to release a new modernized job search experience as well as a lighter version of our Talent Search product for our new web store, which is part of our broader product-led growth strategy. Our all-jobs initiative continues to drive job posting growth, increasing candidate engagement and applications. In the first quarter, Dice averaged 1.6 million monthly job applications, up 15% year over year, further solidifying Dice as the leading tech career marketplace. We believe in the virtuous cycle of increased candidate activity attracting more recruiters and employers as subscribers. Turning to guidance, although there remains significant uncertainty surrounding tech hiring and investments in general in today's economy, we are reiterating our full-year revenue guidance of $131 to $135 million. In the second quarter, we expect revenue to be between $32 million and $33 million. In the meantime, we continue to focus on delivering substantial profits for our shareholders and are reiterating our target of a 24% adjusted EBITDA margin for the full year 2025, with strong free cash flow conversion. As I mentioned, we remain focused on controlling what we can, namely our cost structure and capital allocation. We announced a $5 million share repurchase program in January, reflecting our confidence in the strength of our brands, the resilience of our business model, and our commitment to driving shareholder value. Having achieved our targeted leverage ratio of 1x, we used our free cash flow this quarter to repurchase shares. Our Board believes, as we do, that our shares are trading below their intrinsic value due to the soft tech hiring environment. Also, we believe the sum of parts valuation of our company justifies this view. In closing, I'm proud of the progress we've made in reshaping DHI Group into a more focused, efficient, and profitable organization. ClearanceJobs remains a market leader with strong profitability and long-term growth potential. And Dice is well-positioned to benefit as tech hiring demand returns. And across both brands, we are making smart investments in product innovation to drive customer engagement and future growth. With that, I'll turn the call over to Greg to walk you through our financial results in more detail.
Greg Schippers: Thank you, Art. Good afternoon, everyone. As Art mentioned, we have completed the segmentation of our business into two distinct brands, ClearanceJobs and Dice. Going forward, we will report our results in alignment with this structure. This segmentation reflects how we manage and operate the business today and offers greater visibility into the performance of each brand. To support this transition, we have also provided historical segmented results by quarter for 2024 in this quarter's presentation on our Investor Relations website. Now, let me take you through our results for the first quarter. We reported total revenue of $32.3 million, which was down 10% on a year-over-year basis and down 7% versus the fourth quarter. Total bookings for the quarter were $42.1 million, down 14% year over year. Our total recurring revenue was down 9% compared to the prior year quarter, and the bookings that drive our recurring revenue were down 13% for the quarter. ClearanceJobs revenue was $13.4 million, up 3% year over year, but down 3% sequentially. Bookings for CJ were $16.8 million, down 1% year over year. We ended the first quarter with 1,891 CJ recruitment package customers, which was down 7% on a year-over-year basis and down 3% on a sequential basis. This reduction is attributable to churn with smaller customers, whereas the number of CJ accounts spending greater than $5,015,000 in annual recurring revenue has increased and is up approximately 14% versus prior year. As Art mentioned, CJ's new business teams were impacted in the quarter by Doge-related uncertainty. Our average annual revenue per CJ recruitment package customer was up 12% year over year and up 3% sequentially to $25,800. Approximately 90% of CJ revenue is recurring and comes from annual or multiyear contracts. For the quarter, CJ's revenue renewal rate was 92%, and CJ's retention rate was strong at 106%. The outstanding retention rate demonstrates the continued value CJ delivers in the recruitment of cleared professionals. Dice revenue was $18.9 million, which was down 18% year over year and down 10% sequentially. Dice bookings were $25.3 million, down 20% year over year. We ended the quarter with 4,490 Dice recruitment package customers, which is down 5% from last quarter and down 14% year over year. Dice revenue renewal rate was 70% for the quarter, and its retention rate was 92%. The reduction in customer count and Dice's renewal rate is also attributable to churn with smaller customers, spending less than $15,000 per year, representing 75% of the total churn on count and are more likely to be impacted by the difficult macro environment and uncertainty. Our average annual revenue per Dice recruit package customer was in line with the fourth quarter and up 2% year over year to $16,400. As with CJ, approximately 90% of Dice revenue is recurring and comes from annual or multiyear contracts. Turning to operating expenses, first quarter operating expenses increased $7.1 million to $41.2 million when compared to $34.1 million in the year-ago quarter and includes a $7.4 million Dice goodwill impairment charge and a $2.3 million charge from the January restructuring. Excluding those charges, our first quarter operating expenses declined $2.5 million or 7%. Because of the difficult market conditions over the past two and a half years, we have reduced costs through restructuring in the second quarter of 2023 and the third quarter of 2024 and again in January of this year. Together, these restructurings have reduced our annual operating expenses and capitalized development costs by approximately $20 million. We continue to focus on our operational efficiency. For the quarter, we had an income tax benefit of $120,000 on a loss before taxes of $9.5 million. Our tax rate differed for the quarter from our approximate statutory rate of 25% due to tax expense from the vesting of stock-based compensation and the nondeductible impairment of goodwill. Moving on to the bottom line, we recorded a net loss of $9.4 million or $0.21 per diluted share in the first quarter. For the prior year quarter, we reported a net loss of $1.5 million or $0.03 per diluted share. Net loss for the quarter was impacted by a $7.4 million impairment to Dice goodwill and a $2.3 million restructuring charge associated with our January restructuring, which included a reduction of approximately 8% of the company's workforce. Non-GAAP earnings per share for the quarter was $0.04 compared to earnings of $0.05 per share for the prior year quarter. Diluted shares outstanding for the quarter were 45.5 million compared to 44.2 million in the prior year quarter. Adjusted EBITDA for the first quarter decreased 19% to $7 million, a margin of 22% compared to $8.6 million or a margin of 24% in the first quarter a year ago. On a segmented basis, CJ adjusted EBITDA was very strong at $5.7 million in the first quarter, representing a 43% adjusted EBITDA margin as compared to adjusted EBITDA of $5.5 million or a margin of 42% in the prior year period. Dice's adjusted EBITDA was $3.4 million, representing an 18% adjusted EBITDA margin, which compares to $5 million and a 22% margin last year. Operating cash flow for the first quarter was $2.2 million compared to $2.1 million in the prior year period. Free cash flow, which is operating cash flows less capital expenditures, was $88,000 for the first quarter, up significantly from a negative $2.4 million in the first quarter of last year. Our capital expenditures primarily consist of capitalized development costs, which were $2 million in the first quarter compared to $3.4 million in the first quarter last year, a savings of $1.5 million or 42%. Capitalized development costs in the first quarter of 2025 were $400,000 for CJ and $1.6 million for Dice, as compared to $700,000 for CJ and $2.7 million for Dice in the 2024 period. Over time, we are targeting free cash flow at 10% of annual revenue. Following the restructurings, we expect further reductions to our capitalized development costs in 2025 as compared to 2024. We are targeting total capital expenditures in 2025 to range between $9 million and $10 million as compared to $13.9 million last year. By consolidating our tech organization into a small number of teams with subject matter expertise in adjacent areas, we are expecting to accelerate our product release schedule and enhance our overall efficiency. From a liquidity perspective, at the end of the quarter, we had $2.7 million in cash, and our total debt was $33 million under our $100 million revolver, resulting in leverage at 0.98 times our adjusted EBITDA. We continue to target one times leverage for the business. Deferred revenue at the end of the quarter was $700,000, down 9% from the first quarter of last year. Our total committed contract backlog at the end of the quarter was $107.8 million, down 9% from the end of the first quarter last year. Short-term backlog was $82.9 million at the end of the first quarter, a decrease of $6.4 million or 7% year over year. Long-term backlog, that is revenue to be recognized in thirteen or more months, was $24.8 million at the end of the quarter, an increase of $3.4 million or 16% from the prior year quarter. During the quarter, we repurchased 886,000 shares for $2.1 million. In January, our Board approved a new $5 million stock repurchase program, which began in February and will run through February 2026. At the end of the quarter, we had $4.3 million remaining on our $5 million repurchase program. Adding to the guidance that Art provided, we are reiterating our annual revenue guidance for the first full year of $131 million to $135 million, and we continue to target an adjusted EBITDA margin of 24% for the full year. To wrap up, while the hiring environment over the past two-plus years has impacted our revenue growth, we anticipate that companies across all industries will steadily increase their investment in technology initiatives in 2025 and beyond. We believe this will drive greater demand for our products and services. In the meantime, we remain focused on enhancing our industry-leading offerings, optimizing our go-to-market execution, and doing so efficiently, ensuring we are well-positioned to capitalize on this opportunity. And with that, let me turn the call back to Art.
Art Zeile: Thanks, Greg. I want to thank all our employees once again for their hard work this quarter. It is a pleasure to be part of such a great team. That said, we are happy to answer your questions.
Operator: We will now begin the question and answer session. And our first question will come from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Good afternoon, all. Art, I guess the obvious question here, and we appreciate the fact you've broken all this out in adjusted EBITDA. For both segments, what is it that gives ClearanceJobs an adjusted EBITDA margin that is more than twice of what Dice produces?
Art Zeile: I would have to say it's the revenue per employee. In the case of Dice, I'm sorry, in the case of ClearanceJobs, it's running at about $700,000 per employee. For ClearanceJobs, it's about half that. I'm sorry. For Dice, it's about half that. So we have had to work a lot harder on fixing legacy code and bringing Dice to the same level of feature set and capability as ClearanceJobs over the course of several years. So that's the answer. It's a bigger team. And quite frankly, more so in the tech spend and what we've been doing over the course of time than for ClearanceJobs.
Gary Prestopino: Okay. And then as I look through these numbers, Greg, maybe you can answer this. Is it is your corporate before anything below that line running at about $6,050,000 per quarter? Is that about right?
Greg Schippers: Our corporate expenses are going to run, excluding anything that is kind of unusual in nature, is gonna run about $7 million a year.
Gary Prestopino: Annually.
Greg Schippers: It's a pretty small group. There's a handful of employees in there. Our public company costs.
Gary Prestopino: So it's only $7 million a year that $6.058, okay. Where I wanna put it. Alright.
Greg Schippers: Yep. And you'll see that, Gary, in more detail in the investor presentation is posted just following this call, you'll get detailed by quarter running from Q1 of 2024 forward. So you can see all the different pieces that roll up.
Gary Prestopino: And then just two other questions. And I'll let somebody else go. With Dice, you said bookings are down 20%, lower demand on renewals. What exactly when you're talking about lower demand, could you maybe just explain that a little bit in terms of how you how your revenues book out in that regard? I just wanna make sure I understand how the lower demand could would help to reduce bookings by 20%.
Greg Schippers: So yeah. Gary, the I'll take the first part of this Art and then maybe you can jump in. Of the issue on the first quarter as Art mentioned, was the multiyear contracts that were entered into in Q1 of 2022 and 2023, are still high demand periods. We had in the neighborhood of $6 million of renewals in the quarter. Coming up on those, and those were challenged, you know, from a conversion given the demand environment today. So that's a portion of it, and then I'll just turn it over to Art.
Art Zeile: No. I think you covered it well, Greg. The bottom line is that the larger staffing recruiting firms like to have a multiyear contract relationship with us. It's easier for them. It also cements a better relationship, quite frankly, between the two parties. And in that 2022 and 2023 first quarter period, they were feeling pretty good about the growth of the overall economy, especially in 2022 coming out of COVID. There was kind of a surge of demand for all technology positions and hiring in general. And so they locked in contracts that had a higher level of profile views. Once they realized that they were not consuming that same level, in 2024 and in this first quarter, they decided to reduce their contract spend. They're still moving forward on multiyear contracts, but at a lower level.
Gary Prestopino: Okay. That helps a lot. And then just lastly, real quickly here. Has any of the contractors that you're dealing with starting to see a flow of any kind of funds from EU defense spending, or is it too early at this point?
Art Zeile: So I would say it's kind of interesting. Talking to contractors in February and March, they were very fearful of Doge. And, you know, any kind of a I would say, contract termination. And there's a tracker online that you can go to that shows all the contracts that have actually been terminated by Doge by department and by dollar value. And so there's a fear that they would run through Department of Defense. They have not substantially. And so I think that that fear has receded, especially with regard to the pronouncements of President Trump and Secretary Hagzeff, as I've indicated, as well as the House and Senate Armed Services Committee chairmen, their willingness to boost the exact the defense budget. Now that hasn't been signed into law. Those are kind of forecasts for the future. So we haven't seen a dramatic change in the funding of additional defense projects, but I think it just based on the news cycle and the constant discussion of the need for stronger defense, we believe that that's very, very likely for later this year.
Gary Prestopino: Okay. Thank you.
Art Zeile: Of course. Thank you, Gary.
Operator: And our next question will come from Kevin Liu with K. Liu and Company. Please go ahead.
Kevin Liu: Hi, good afternoon, guys. Maybe if we could continue on the conversation on Doge. Could you kind of parse out the actual impact on your quarter? I'm just curious to what extent it impacted churn, if it did have any impact there? Versus just kind of delaying new bookings? And then maybe if you could talk about kind of what you've seen early in Q2. Has the fact that a new defense budget has been proposed and it's not much larger? Is that giving any sort of added confidence in letting customers move forward now?
Art Zeile: Yeah. I could speak to that, Kevin. And great question. I would say that, first and foremost, when Doge kind of rampaged other agencies, other government institutions, there was a fear that they wouldn't withhold any kind of activity from the Department of Defense. And I would say that what that really meant is that a lot of people were fearful that they might be losing contracts or that there might be a suspension of new contract activity. That did not really play out. It did scare most of the smaller contractors, as indicated by Greg. The folks that did not renew for the most part were smaller military contractors. It also scared the folks that were talking to us about buying ClearanceJobs licenses for the very first time. So there were a couple of weeks where, for the very first time in the history that I've been on board, there were no new business bookings for ClearanceJobs, and that was just really, like I said, very unusual. Our pattern is to have new business bookings in for the ClearanceJobs new business team single day of the week for the most part. So, again, the fear was there. I'd say that the larger contractors did not have that same level of uncertainty, fear. They had existing contracts. So they felt comfortable renewing in largely the same pattern that they have for the past. So this is something that again, it affects renewals of smaller customers for ClearanceJobs as well as new business relationships that we're trying to establish.
Kevin Liu: Got it. And just also for ClearanceJobs, as we make our way through this year and presumably, you know, sentiment gets better with a higher defense budget, how should we think about kind of your willingness to spend on the marketing front? Would you there kind of a floor level that you want the CJ business to have in terms of an EBITDA margin? Somewhere north of 40% or are you willing to go lower than that, if the opportunities are there to really reaccelerate the growth profile?
Art Zeile: I think that we're pretty effective in terms of our marketing spend today. A lot of the marketing spend is geared towards generating marketing qualified leads. And we're always experimenting with new channels, new ways to essentially make those more targeted. I still think that ClearanceJobs should be a 40% EBITDA margin platform for the foreseeable future. I don't know if you have anything to add to that, Greg.
Greg Schippers: Yeah. No. I completely agree with the 40 plus percent, and Art mentioned, it would be targeted marketing if we spent any more where it would be accretive to the margin. And in particular, you know, getting more exposure in the Western Part Of The United States, super dense for us in the DC area, but we have opportunity when you move west for ClearanceJobs.
Kevin Liu: Got it. And then maybe just lastly on the Dice side of things, can you just talk about kind of the new business environment today? Obviously, there's been a lot of uncertainty, maybe related tariffs, which might impact some of your customers in certain segments. But just wondering if you're sensing that, you know, things have kind of bottomed out here and we start to see an improvement or if the environment is still pretty challenging out there.
Art Zeile: Great question. And you have to understand that for us, new business is divided into two teams. One is a team that attends to staffing recruiting agencies, and the other is a team that attends to commercial relationships. Like, we announced American Airlines and Flexjet this quarter. I would still say that there's a lot of uncertainty and fear for commercial accounts, and therefore, we have seen those bookings suppressed. It's been a positive surprise to see that bookings for staffing and recruiting agencies have actually exceeded our internal expectations this first quarter. I think that's because for most companies, they view hiring through a staffing recruiting agency as a less risky proposition in this kind of environment. It makes it a variable expense as opposed to a structural expense for an employee being on your payroll. So we have seen a solidification of new business bookings for the staffing recruiting new business team, but not the other one, not the commercial accounts team.
Kevin Liu: Got it. Appreciate the color there, and good luck here in the second quarter.
Art Zeile: Thank you very much. I really appreciate it, Kevin.
Operator: And our next question is a follow-up from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: I just wanted to ask in terms of some of the expense categories, product development, sales and marketing, G and A, D and A, or depreciation. Greg, should we look at the percentage of those expenses on sales to maybe hold steady throughout the rest of the year?
Greg Schippers: Yes, good question. I would say if you're using the first quarter of 2025 as the comparison, it should stay in that general area.
Gary Prestopino: Okay.
Greg Schippers: You know, as revenue expands, of course, there'll be some on those expenses. But otherwise, yeah, you should look at it relatively flat.
Gary Prestopino: Okay. Thank you. Now just this one follow-up on that too, Gary. If you think about capitalized development costs, that will trend down from last year's numbers. And maybe be, you know, more consistent or in line with what we're seeing here in Q1 and trending towards 9 to 9 and a half million, maybe 10, you know, for the year as opposed to almost 14 last year. So yeah, direct cash savings there, but it's not reflected in EBITDA.
Gary Prestopino: Okay. Thank you.
Operator: And this concludes our question and answer session. I'd like to turn the conference back over to Art Zeile for any closing remarks.
Art Zeile: Thank you very much, and thank you all for joining us today. As always, if you have any questions about our company or would like to speak with management, please reach out to Todd Kehrli, he will help arrange a meeting. Thanks, everyone, for your interest in DHI Group, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.